Operator: Ladies and gentlemen, thank you for standing by. Welcome to Canadian Solar's Fourth Quarter 2024 Earnings Conference Call. My name is Melissa, and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Wina Huang, Head of Investor Relations at Canadian Solar. Please go ahead.
Wina Huang: Thank you, operator, and welcome, everyone, to Canadian Solar's fourth quarter 2024 conference call. Please note that today's conference call is accompanied with slides, which are available on Canadian Solar's Investor Relations website within the Events & Presentations section. Joining us today are Dr. Shawn Qu, Chairman and CEO; Yan Zhuang, President of Canadian Solar's subsidiary CSI Solar; Ismael Guerrero, Corporate VP and President of Canadian Solar's subsidiary Recurrent Energy; and Xinbo Zhu, Senior VP and CFO. All company executives will participate in the Q&A session after management's formal remarks. On this call, Shawn will go over some key messages for the quarter, Yan and Ismael will review business highlights for CSI Solar and Recurrent Energy, respectively, and Xinbo will go through the financial results. Shawn will conclude the prepared remarks with a business outlook, after which we will have time for questions. Before we begin, I would like to remind listeners that management's prepared remarks today, as well as their answers to questions will contain forward-looking statements that are subject to risks and uncertainties. The company claims protection under the safe harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from management's current expectations. Any projections of the company's future performance represent management's estimates as of today. Canadian Solar assumes no obligation to update these projections in the future unless otherwise required by applicable law. A more detailed discussion of risks and uncertainties can be found in the company's annual report on Form 20-F filed with the Securities and Exchange Commission. Management's prepared remarks will be presented within the requirements of SEC Regulation G regarding Generally Accepted Accounting Principles, or GAAP. Some financial information presented during the call will be provided on both a GAAP and non-GAAP basis. By disclosing certain non-GAAP information, management intends to provide investors with additional information to enable further analysis of the company's performance and underlying trends. Management uses non-GAAP measures to better assess operating performance and to establish operational goals. Non-GAAP information should not be viewed by investors as a substitute for data prepared in accordance with GAAP. And now, I would like to turn the call over to Canadian Solar's Chairman and CEO, Dr. Shawn Qu. Shawn, please go ahead.
Shawn Qu: Thank you, Wina, and thank you all for joining our fourth quarter earnings call. I am speaking to you today from Louisville, Kentucky, a city you will find me in often this year. With construction progressing on our new energy storage facility nearby and also on our new solar cell facility in Jeffersonville, Indiana, just across the Ohio River, we welcome customers and partners to visit. Now, let's review the quarter and full year's performance. Please turn to Slide 3. In the fourth quarter, we shipped 8.2 gigawatts of solar modules, bringing our total volume for the year to 31.1 gigawatts, with the rapid decline in global module pricing and lighter project sales from Recurrent Energy, our total revenue in 2024 was US$6 billion. Inventory write-downs, trade-related duties and tariffs and project asset impairments weighed on gross margin, while elevated freight cost and impairment to solar power and battery energy storage systems caused operating expenses to go up. As a result of a difficult operating environment, we generated net income for Canadian Solar shareholders of $34 million or $0.48 per diluted share. These results included the positive impact of hypothetical liquidation at book value, or HLBV, accounting of tax equity treatment for U.S. projects totaling $132 million and -- or $1.95 per diluted shares, respectively. 2024 was a challenging year for the solar industry. Competition intensified with major manufacturers reporting significant losses. Structural overcapacity across the supply chain has led to a prolonged market downturn, and we expect an extended period of consolidation ahead. At the same time, key markets faced uncertainty. While China is seeing a surge in installation in the first half of 2025 due to two policy changes effective April 30 and May 31, respectively, the U.S. continues to grapple with policy and trade-related challenges. Together, these factors are creating both operational and financial headwinds for the industry. Despite these challenges, Canadian Solar has demonstrated resilience. Demand for energy storage is growing and diversifying globally. Please turn to Slide 4. Now at grid parity, solar plus storage can provide reliable, around-the-clock clean energy to meet the growing need of data centers, electric vehicles and other energy-intensive applications. As a Tier 1 solar and energy storage provider, we are uniquely positioned to bundle our technology and services to address diverse use cases from co-located solar and storage to hybrid systems. Globally, we are seeing a shift toward longer-duration battery energy storage systems. Our advanced proprietary system solution, the SolBank 3.0, is designed to meet the customized and increasingly demanding needs of each market. SolBank 3.0 is already an industry-leading solution offerings to superior performance and safety. We are also making rapid growth -- rapid progress on our next-generation systems, which will include extended battery cycle performance, load degradation, modular design for flexible installation configurations and increased power density to 7 megawatt hours per container unit. With the industry already -- with the industry also trending toward more distributed storage and smaller point-of-use systems, Canadian Solar is uniquely positioned to capitalize on this opportunity. As a technology leader, we not only drive continuous product innovation, but also offer a comprehensive portfolio of energy storage solutions. From our flagship SolBank to top-tier solutions for residential, commercial and industry applications, we provide a complete product suite that addresses the full spectrum of energy storage needs. Finally, let me provide an update on our three U.S. manufacturing facilities. Please turn to Slide 5. On the left, you will see our module factory, which is on track to fully ramp up in 2025 in Mesquite, Texas. It will provide -- it will contribute around 3 gigawatts of volume delivery this year, increasing the share of domestically made products in our total U.S. shipments. Our solar cell facility in the middle is fully contracted to our module factory and progressing smoothly. Civil works are underway, as you can see, and we expect to install manufacturing equipment later this year, with production set to begin by year-end. The energy storage facility will produce battery cells, modules and complete systems. It is expected to start delivering US-made SolBanks by the beginning of next year. These facilities highlight our differentiation. With our -- with over 20 years of global manufacturing experience across both solar and storage, we have the ability to manufacture in closed markets. For example, by leveraging our existing battery cell manufacturing expertise, we can quickly adapt to the US market where local production is a game changer. In short, we can export expertise gained from all the market we have operated in and execute with local familiarity, both advantages that our competitors simply do not have. With that, I will turn the call over to Yan, who will provide more details on our CSI Solar business. Yan, please go ahead.
Yan Zhuang: Thank you, Shawn. Please turn to Slide 6. Despite a challenging solar market in 2024, we maintained relatively strong profitability by adhering to a disciplined order-taking strategy and achieving record energy storage volume. These two drivers led to full year revenue of $6.5 billion with a gross margin of 18.4%. Notably, our module and energy storage segments were both profitable on a standalone basis. Now, let's examine the drivers for solar and energy storage separately. Please turn to Slide 7. ASPs fell significantly throughout 2024. However, we maintained relatively higher blended prices by strategically controlling volumes to less profitable markets while increasing shipments to the US, which accounted for approximately 25% of our global shipments. Polysilicon prices plunged over 40% during the year, triggering a cascade of price reductions along the supply chain. However, in most markets, module pricing declined at around the same rate or faster than upstream cost savings. In addition to supply chain-driven cost reductions, we continued to enhance efficiency across our vertically-integrated capacities. For example, through innovations like [half moon] (ph) savings and thinner wafers, we expect to increase capacity across our ingot and wafer manufacturing. In cell manufacturing, the industry's rapid transition to TOPCon technology resulted in impairments of PERC manufacturing assets during the fourth quarter. While some equipment will become absolute, we have the flexibility to repurpose existing facilities for new initiatives, such as new materials manufacturing, which will further strengthen our integrated supply chain. Importantly, our exposure to legacy technology is significantly lower compared to our peers. Next, onto battery energy storage. Please turn to Slide 8. The fourth quarter and full year 2024 were record breaking for energy storage in terms of shipments, revenue and profitability. We delivered 2.2 gigawatt hours in Q4, bringing our annual total to 6.6 gigawatt hours, a more than 500% year-over-year increase. We expect this growth to continue in 2025, while Q1 will be seasonally softer. Volumes will ramp up quarter-over-quarter, with each subsequent quarter exceeding the same period last year. However, as upstream prices have stabilized, we anticipate margins will normalize. To address this, we will continue scaling our volumes, differentiating our manufacturing strategy and navigating market uncertainties. In the US, recent trade policy changes have created turbulence in the market. However, we are effectively managing tariff exposure until our onshore capacity ramps up. Our $3.2 billion backlog provides strong visibility, while our pipeline, now at a record 79 gigawatt hours, reflects increasingly diversified global demand. e-STORAGE is expanding coverage into new markets, such as Mainland Europe and Japan, where we are well positioned to capture growth. Additionally, we are exploring new opportunities in markets like Latin America and Australia, where we have already established a presence. We continue to grow our energy storage manufacturing capabilities with strategically located geographic expansions in the US and Asia. These facilities will produce battery cells, modules and complete modular battery systems. In the US, we are also on track with our supply chain strategy to take advantage of domestic content requirements. Overall, we are winning on value. While new entrants may offer cost-effective products, we deliver system integration. The difference between simply supplying the DC block and ensuring its safety in stock and tested, operated and supported with long-term service is massive. Now, let me hand the call over to Ismael, who will provide an overview of Recurrent Energy, Canadian Solar's global product development business. Ismael, please go ahead.
Ismael Guerrero: Thank you, Yan. Please turn to Slide 9. 2024 marked the largest execution year in the history of Recurrent Energy. We successfully brought 1.3 gigawatts of solar projects to commercial operation across the US, Italy, Brazil, Japan and Taiwan. We also started construction on 1.4 gigawatts of solar and 1.8 gigawatt hours of BESS projects. Specifically in the US and Europe, our IPP markets, our operating portfolio reached 490 megawatts peak of PV and 310 megawatts hours of energy storage as of December 2024. Last week, I attended the ribbon cutting event for our 1.2 gigawatt hour Papago Storage project in Arizona, a full storage project that will officially reach commercial operation in a few days. Overall, we have fully funded a total of 20 projects equivalent to 1.8 gigawatts peak of solar PV and 1.7 gigawatt hours of BESS projects. All these projects have either reached commercial operation or are in construction. In addition, we have partially funded 15 projects that are set to start construction this year, equivalent to 1.1 gigawatts peak of solar and 840 megawatt hours of BESS. We are making significant progress in our transformation as an independent power producer. As discussed in the past, we expected our financials to take a short-term hit when we execute projects all the way to commercial operation instead of monetizing them upfront, which is what we saw in 2024. But as we scale our operating portfolio, the share of a stable recurring income will grow. Thus, 2024 was not a strong financial year, also impacted by certain project delays that were pushed into Q4 and 2025. Please turn to Slide 10. In the fourth quarter, we sold 540 megawatts of PV projects in UK, Italy, Japan and Taiwan, making total full year 2024 sales 1.2 gigawatts. 480 megawatts peak of solar and 480 megawatt hours of storage sales in the APAC region were delayed to 2025. Combined with our recurring revenues generated from operating projects, electricity sales and our O&M business, we reported $188 million in revenue, a gross margin of 7.5% and an operating loss of $40 million We also advanced our growth by signing PPAs, both bilateral and auction-based, covering 1.5 gigawatts of solar and 1.3 gigawatt hours of BESS. Our global operations and maintenance, or O&M business, expanded significantly. We are now the seventh largest O&M provider globally, up from 15th in 2021. We currently manage 4.2 gigawatts of solar, 5.7 gigawatts of co-located solar plus storage and 3.2 gigawatt hours of standalone storage worldwide. While the financial contribution from O&M may be modest today, its strategic value is significant. The operational insights we gain from this business enable us to enhance every stage of project development and operations, driving greater efficiency and ultimately improving project economics and returns. Please turn to Slide 11 for an update on our pipeline. As of December 2024, we have secured interconnections for 9 gigawatts of solar and 17 gigawatt hours of storage globally, excluding projects already in operation. Our total project pipeline now stands at 25 gigawatts of solar and 75 gigawatt hours of energy storage. Echoing Shawn's comments on energy storage growth, we see this momentum reflected in our BESS pipeline. With energy storage poised to expand in Europe, we can leverage our experience from US storage projects. The more than 35 gigawatt hours of pipeline in EMEA underscores our strong market position. Now, let me hand the call over to Xinbo, who will go through our financial results in more detail. Xinbo, please go ahead.
Xinbo Zhu: Thank you, Ismael. Please turn to Slide 12. In the fourth quarter, we shipped 8.2 gigawatts, within our guidance. Revenue was $1.5 billion, sitting at the lower end of our range, as some project sales were delayed into 2025. Gross margin was impacted by several factors, including duty and tariff effects, an inventory write-down due to declining market prices, and project asset impairments. Together, these factors reduced gross margin by more than 950 basis points and were slightly offset by advanced manufacturing credits. Selling and distribution expenses decreased by 3% sequentially, primarily due to lower shipping costs. General and administrative expenses increased 120% sequentially, driven by $65 million impairment to certain manufacturing assets and $21 million of impairments to solar power systems. Following ongoing curtailments in the Latin American region and reassessments of project fair values, we incurred $54 million of impairments on project assets and solar power systems. Collectively, these impairments impacted Q4 operating margin by approximately 350 basis points. Research and development expenses remained stable quarter-over-quarter. Net interest expense in the fourth quarter was $9 million, down from $20 million in the prior quarter. This was mainly driven by higher interest income. Net foreign exchange loss in the fourth quarter was $10 million, driven by a strong dollar following the US Presidential election. Total net loss before non-controlling interest was $135 million, while net income attributable to Canadian Solar shareholders was $34 million or diluted earnings per share of $0.48. This result included a significant $132 million positive impact from HLBV accounting related to tax equity arrangements of certain US operating projects. Now, let's turn to cash flow and the balance sheet. Please turn to Slide 13. For the full year of 2024, net increase in cash was [$682 million] (ph). Outflows in operating and investing cash were driven by funding of $698 million and $758 million deployed to projects, assets and operating projects, respectively. Capital expenditures for the year totaled $1.1 billion, slightly below forecast. For 2025, we expect CapEx to be approximately $1.2 billion as we focus on our strategic manufacturing investments in the US. Now, let me turn the call back to Shawn, who will conclude with our guidance and business outlook. Shawn, please go ahead.
Shawn Qu: Thank you, Xinbo. Please turn to Slide 14. For the first quarter of 2025, we expect CSI Solar's module shipments to be in the range of 6.4 gigawatts to 6.7 gigawatts, including approximately 400 megawatts to our own project. We also anticipate delivering around 800 megawatt hours of energy storage with 150 megawatt hours allocated to our own project. We forecast total revenue for Q1 to be between $1 billion and $1.2 billion with gross margin expected to range from 9% to 11%. First quarter margin reflects lower-than-usual performance across both CSI Solar and Recurrent Energy. For CSI Solar, the primary drag on margins will be seasonally lower energy storage shipments, resulting in reduced margin contribution from that segment. While slightly higher ASP in the US and manufacturing credits will partially offset total duties, tariffs and accelerate depreciation of manufacturing assets. These factors will still weigh on gross margin. For Recurrent, margins will be impacted by project sales with minimal margin contribution. However, we expect margins to improve in subsequent quarters as storage shipments increase significantly starting in Q2 and tariff and duty impacts on a per watt basis decline over the year. For the full year of 2025, we reiterate our volume guidance of 30 gigawatts to 35 gigawatts of module shipments, including approximately 1 gigawatt to our own project. We also reiterate our guidance for energy storage shipment to be between 11 gigawatts to 13 gigawatt hours, including approximately 1 gigawatt hour allocated to our own project. We expect full year revenue to range between $7.3 billion and $8.3 billion. Throughout the year, we anticipate continued consolidation in the solar market. Geopolitical uncertainties will impact all of our business lines, but we remain confident in our ability to navigate these challenges. With that, I would like to open the floor for questions. Operator?
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Colin Rusch with Oppenheimer. Please proceed with your question.
Colin Rusch: [Technical Difficulty] so much, guys. Given the changes that we're seeing in terms of chemistries on the battery side as well as price dynamics, can you talk a little bit about how you see margins trending for your energy storage systems and how you're passing on some of the benefits of the improving chemistry and cycle life?
Shawn Qu: Hi, Colin, this is Shawn. I will answer this question. Although there are some chemical changes, but the main chemical structure for the battery is still the same, still the LPF -- LFP type of solar cell chemical structure. But we are working like implement some new technology. For example, the prelithiation technologies will result in -- which will result in more cycle types and also less degradation, especially less degradation in the first five years. Now, we think most of those savings, the benefit, we will pass to our customers. And for Canadian Solar, however, we're still -- in those new technologies, I think we'll be able to maintain a reasonable margin for ourselves, Colin.
Colin Rusch: All right. Thanks so much, guys. And then, I guess, the second one is for Ismael. Given some of the geopolitical shifts that we're seeing here and potential for increased activity in Europe, can you talk a little bit about early indications around where some of the infrastructure support might end up filtering out, whether it's Germany or other countries or what you're seeing in terms of the value of the pipeline of products that you have on the continent?
Ismael Guerrero: Thanks for the question, Colin.
Shawn Qu: Ismael?
Ismael Guerrero: Yeah, thanks for the question, Colin. Look, despite all the noise that is happening, we have not been suffering anything in particular in any of our U.S. projects yet and small permit that we were missing on from the federal government was granted very quickly actually. And in Europe, what we are seeing is very strong movement into installing storage, remain weak installations of PV, but PV penetration is starting to be very high. So, there is a lot of storage to be deployed. There is almost nothing in Europe. So that's what we are seeing, but we have not seen at least so far any slowdown in the U.S. market.
Colin Rusch: Excellent. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Praneeth Satish with Wells Fargo. Please proceed with your question.
Praneeth Satish: Thanks. Maybe turning to the guidance, so Q1 guidance for module shipments of 6.4 gigawatts to 6.7 gigawatts versus the full year of 30 gigawatts to 35 gigawatts, so, basically, implies meaningful kind of acceleration in the back half of the year. Maybe if you could provide any more clarity on the ramp over the course of the year and the main factors that's driving it given the continued pricing pressure and geopolitical tensions that we're seeing?
Shawn Qu: Yan, do you want to answer this question?
Yan Zhuang: Yeah. So, actually, you asked a pretty big question because the price trend is kind of complicated across different markets and also first half and second half might be different. So, overall, we're seeing price being stabilized in most of the world, except in China, we see price going up because of this surge of demand triggered by the policy shift and -- as Shawn mentioned. And now, for U.S., we're observing price starts to go down a little bit. And moving into the second half, we anticipate we see some uncertainties for China market given the policy shift. Could be a period of slowing down, that's possible. However, on the other hand, we are actually ramping up our own U.S. manufacturing volume. So that is going to help our margin. And we also have a growing storage shipment Q-to-Q. That also helps on the margin channel. On sales side, in different markets, we have a strategy of focusing on high-priced channel and also high-priced business such as bundled sales. So, we're focusing more and more on solution and services that can give us a higher margin. So, overall, our margin situation, I think Q-to-Q over the year is going on the uptrend mode. So, we're going to improve Q-to-Q.
Praneeth Satish: Got it. That's helpful. And just quickly, just two questions here on the slide showing the manufacturing capacity, looking out to 2025. So, just on the outlook for cell capacity, does that 36 gigawatts, does that include the 5 gigawatts from the Indiana facility that you're constructing? And then, at this point, what percentage of that 36 gigawatts of cell capacity is TOPCon versus PERC?
Shawn Qu: Let me answer this question. You probably noted that the cell capacity declined from the end of 2024 to the end of 2025. So, we are taking the PERC capacities, [select date of] [ph] PERC capacities offline throughout 2025. So that's why the number changed. So, the 36 gigawatt, well, is more -- it's mainly the remaining TOPCon capacities. There's not much PERC assumed in these numbers. And the Indiana facility will start to move-in equipment this year, but the facilities will only start to contribute in 2026. And at this moment, we expect to start commercial shipment from Indiana in Q2 2026.
Praneeth Satish: That's helpful. Thank you.
Shawn Qu: Thank you.
Operator: Thank you. Our next question comes from the line of Maheep Mandloi with Mizuho Securities. Please proceed with your question.
Maheep Mandloi: Hey, thanks for taking the question here. Maybe on the previous question on the gross margin improvement, you kind of talked about quarter-over-quarter margin improvement. Is that just for Q2, or is it like for the full year? First question on that. And second, on the slide deck, you kind of mentioned a few reasons which kind of impacted the gross margins over here in Q1. If you could like give us some insights into the gross margin reduction due to lower e-STORAGE shipments or trade duties or tariffs, that would be really helpful. Thanks.
Shawn Qu: Yeah. Yan, can you answer this question?
Yan Zhuang: Yeah. So, the -- okay, I'm talking about throughout the year, we're on the upward trend in terms of margin. It doesn't mean every quarter we're going to have a significant jump, but overall -- throughout the year, the overall trend is a margin improvement. So that comes from, as I said, the increase of storage shipment and also our improved channel structure and solution service offering volumes also on the upscale trend. So, the second question is about the Q1 margin disruption. Is that what's your question, the factors in Q1?
Maheep Mandloi: Yeah. Just the factors. I think you highlighted e-STORAGE, trade duties and tariffs. Just curious how to think about the impact of those three things in Q1.
Yan Zhuang: So, in Q1, I think Shawn has mentioned that we had different factors such as the impairment in Brazil, in South America, right, on the Recurrent side and also we have impairment on the [PERC] (ph) facility and, of course, some impact on the duty side. So that was the factor that negatively affected our Q1 margins.
Xinbo Zhu: This is Xinbo speaking. In Q1, the lower margin is -- I think it's more about mix. The solar products will continue to maintain stable margin similar to the last quarters. And the lower margin is mainly because of lower shipment volume from e-STORAGE, who have -- has been contributing decent margin to the [indiscernible].
Yan Zhuang: I thought you mentioned Q4, yes. Q1 is -- it's a lower season for not just for e-STORAGE, but also for solar as well.
Xinbo Zhu: Yeah. If you calculate our guidance, the battery system shipment volume in Q1 only accounts for about 7% of our annual volume. Yeah, it's much lower than average. It's the main reason.
Maheep Mandloi: Got it. Appreciate that. And then, just one last one quickly, just on the steel and aluminum tariffs on US imports. I presume that's already baked into your Q1 guide, but for the rest of the year, how should we kind of think about that? Is that passed through to your customers or is that something you'll be negotiating with the customers?
Shawn Qu: Sorry?
Wina Huang: Maheep, were you asking about steel tariffs?
Maheep Mandloi: Yes. Steel and aluminum tariffs, like, for -- which goes into your module frames and potentially into the battery materials also, right? So just curious if any of those are impacting your...
Yan Zhuang: So, those tariffs are already taken into account on our cost structure. So, I don't -- there's no -- sorry, go ahead.
Maheep Mandloi: No, sorry, go ahead.
Xinbo Zhu: We don't observe significant impact likely if there's certain tariff is absorbed by our suppliers.
Maheep Mandloi: Got it. I'll take the rest offline. Thank you.
Operator: Thank you. Our next question comes from the line of Alan Lau with Jefferies. Please proceed with your question.
Alan Lau: Thanks for taking my question. This is Alan Lau from Jefferies. And my first question is about on ESS, because the first quarter, I know that the guidance is 800 megawatts, so it's 7% of annual volume. Would like to know how much of the remaining volume are contracted as in the price -- are the price fixed and the management is confident to deliver 11 gigawatt to 30 gigawatt hour of ESS volume in 2025?
Shawn Qu: Yan, do you want to answer this question?
Yan Zhuang: Yeah. So, are you taking about e-STORAGE or module? e-STORAGE, okay. So, for the whole year, we guided the 11 gigawatt to 13 gigawatt hour. Actually, most of the contract has been signed already.
Alan Lau: So, has the price been fixed already or like...
Yan Zhuang: No, the price is actually decided, so it's pre-set price. Of course, we have some like change of law protection as well. And so, pretty -- our margin level is pretty -- high confident.
Alan Lau: Understood. So, for change clause protection, I assume that includes protection on tariff as well, right?
Shawn Qu: Yeah. Majority of the volume are protected.
Alan Lau: Thank you. And then, my next question is about the mix on US module shipment. I think last year, around 25% of the modules are shipped to US market. We'd like to know, is there any idea on the amount of module shipment to the US in first quarter and throughout the whole year in 2025?
Shawn Qu: Yeah. Now, this year, the US percentage for the total -- in the total global module shipment is also around 25%. So, it maintained roughly at the same level. You may notice that our volume guidance for 2025 is 30 gigawatts to 35 gigawatts, which is more or less in line with 2024 and also in line with 2023, almost at the same level. So, in the current situation of the global oversupply of solar module, as I said in my comment, we expect this situation to continue this year. Therefore, under these circumstances, we are not forecasting volume increase. We rather want to focus on protecting the margin profitability. And then, the percentage of US shipment is around the same number -- no, around the same percentage, which also means more or less around the same number as 2024. Now, for Q1, I think the overall percentage is almost -- also almost around the same level, like 20% to 30% of global shipment.
Alan Lau: Thanks a lot. That's very clear. I have a last final question on the G&A expenses because it appears that the general and admin expenses in 4Q seems to be higher than the previous quarter. We'd like to know if it -- is it one off, or why is that? And is there any room for improvement in the next quarter?
Shawn Qu: Xinbo?
Xinbo Zhu: Yeah, it's one-off impairment. It's one-off.
Alan Lau: So, impairment is included in G&A?
Xinbo Zhu: On some of the impairments for...
Alan Lau: I see. Thank you.
Xinbo Zhu: Thank you.
Operator: Thank you. Our next question comes from the line of Vikram Bagri with Citi. Please proceed with your question.
Vikram Bagri: Good morning to everyone. Two quick questions. I apologize for asking one more question on first quarter margins. The gross margin in first quarter appears slightly lower than what we had been expecting, even accounting for lower storage shipments. Can you confirm if storage margins are intact in the 17% to 20% range that you've historically talked about? And if so, perhaps module margins have dropped into low-single-digits or even lower? And then, I have a follow-up.
Xinbo Zhu: On module margin...
Shawn Qu: Yeah. Xinbo?
Xinbo Zhu: Yeah. Module margin will maintain at similar level. We are going to sell some of the solar projects also in Q1. Yeah, these -- some of the projects might be sold at lower margins, so it also contribute to the mix and overall lower average gross margin in Q1.
Vikram Bagri: Got it. But the storage margins are still intact in the 17% range...
Xinbo Zhu: Not impacted. Battery storage systems are still sold at decent margin.
Vikram Bagri: Got it. And then second, looking at the full year guidance, it appears there is some price rebound expected in back half of this year. Am I right in assuming so? And if so, can you talk about the drivers that would help pricing in back half of the year based on the revenue outlook you have?
Shawn Qu: Can you repeat your question?
Vikram Bagri: I'm assuming the second half of the guidance appears to pricing some improvement in module pricing. Is that correct? Are you expecting a rebound in module pricing in back half of this year? And so, what would be the drivers that you see on the horizon that will help pricing?
Shawn Qu: Yeah. As a matter of fact, the solar module pricing out of United States is rebounding right now. This rebound is helped by the installation increase in its first half of this year in China. As I mentioned in my prepared speech, there were two policy changes effective -- on April 30 and May 31, effectively. So basically, after these two days -- two dates, the solar installation in China will not be subject to fixed price. Rather pretty much all the solar project will have to participate in the electricity market clearly. So because of that, there has been installation surge right now. We expect this installation surge will go on until May 31, which is the effective date of the new policy for the solar installation. Therefore, the solar module price has rebounded already and will keep it on a relatively high level for the first half of this year. Now, the second half of this year, as a matter of fact, we think this surge in China will stop and then the market will back to the normal situation. And actually, we expect this -- the consolidation, which means the module price pressure will continue in the second half of this year. So, we are now forecasting any solar module price increase for the second half of this year, instead, we are experiencing a solar module price increase as we speak right now.
Vikram Bagri: Thank you very much.
Operator: Thank you. Our next question comes from the line of Philip Shen with ROTH Capital Partners. Please proceed with your question.
Philip Shen: Hi, everyone. Thanks for taking my questions. Back to margins, I think you guys talked about margin improvement through the year, every quarter. I was wondering if you could share how much higher margins can be and do you expect the margins to peak in Q3, or do you think we rise through the year and Q4 is the highest margin level by quarter. So, just wondering how high we can get back to and which quarter is the highest. Thanks.
Shawn Qu: Yan, do you want to answer this question?
Yan Zhuang: Yeah, we do not -- yeah, we do not guide Q-to-Q quantified increase. We do not guide that. But what I said is we have low Q1, but rest of the year, we see the margin improve. So, I can't tell you exactly what is the margin every quarter. Now, we cannot guide that, but reason behind, as I said, is the ramping up storage shipment and also the ramping up the US module capacity and as well as our overall innovation on our channel and our services that we've been working on very hard to improve margin.
Philip Shen: Okay.
Shawn Qu: Yeah. I will add a few comments. As I said in my prepared speech, this quarter, Q1, our delivery for the energy storage system is 800 megawatts, which is seasonally low. We will see Q2 storage shipment to increase significantly, although I'm not guiding Q2. But according -- look at the shipping schedule, we expect the Q2 shipment in energy storage to go back to the Q4 last year's level or even higher and probably even higher than the level we reported for Q4 last year. And energy storage shipment have a decent gross margin. This is one reason we see or we expect to see margin improvement in Q2 and throughout Q3 and Q4. And also then, on the solar module side, this quarter, again, the solar module delivery is at a seasonally low, but we see this pattern every year. If you look at last year and look at 2023, Q1 shipment is always low and then the shipment increased quarter by quarter after Q1. And another reason is the new AD/CVD preliminary ruling of AD/CVD, the solar module shipment to US from some of the Southeastern Asian countries. Now, we will -- we do see, like high percentage of tariff in Q4 and also in Q1. But throughout the year, the shipment from our Mesquite, Texas, solar module factory is going up. And for the shipment from Mesquite, the duty -- the import tariff only apply on the solar cell, not on the, like, module part. That's another reason for us to see the solar margin -- the average margin for the solar module business also going up. Again, those are the forecast for Q2, Q3 and Q4 now, but it's not official guidance yet.
Philip Shen: Okay, great. Thanks for the additional color, Shawn. You mentioned the tariff impacts for Q4 and Q1. I may have missed it, but can you help us understand specifically what tariffs there were? Was it the Southeast Asia AD/CVD? And then, do you expect that to abate to not be as heavily impactful for Q2, Q3 and Q4? Because it sounds like the impacts might be not as strong then. Thanks.
Shawn Qu: There are two set of tariffs, like main tariffs applied to the Southeastern Asian country shipment. One is the AD/CVD, the new preliminary AD/CVD ruling of four Southeastern Asian countries, which are Thailand, Malaysia and Vietnam. And what's the fourth country, Yan?
Yan Zhuang: Cambodia.
Shawn Qu: Yeah, right. Yes, Cambodia. So, those four countries. Now, our solar module is located in Thailand. So, this -- the shipment from this factory to see the tariff increase from this AD/CVD. And there's another duty, which is called 30 -- no, called 201, right, the 201 duty. This duty also affect the solar module shipment originated from Thailand. So, those are the two hit of the import tariffs.
Philip Shen: Right. And so, the tariff impacts for Q2, Q3 and Q4 of this year go lower because you ship more from the US, is that right?
Shawn Qu: Yeah, that's my reason. We are using -- we have a combination of different manufacturing strategies and we will increase, for example, the domestic production of solar modules using the solar cell from Southeastern Asia. This will allow us to reduce the effective percentage of -- no, the effective -- like absolute duty impact on the solar modules.
Philip Shen: Okay, great. Thanks for taking the questions. I'll pass it on.
Shawn Qu: Thank you.
Operator: Thank you. Our final question this morning comes from the line of Brian Lee with Goldman Sachs. Please proceed with your question.
Brian Lee: Hey, guys. Good morning. Thanks for taking the questions here. Maybe just a couple of follow-ups to Phil's margin questions. It seems like a pretty big driver. So, can you -- I mean, you said 900 basis points of different margin headwinds in Q4, including the tariffs. How much did it impact the Q4 gross margins? How much are the AD/CVD tariffs impacting the Q1 margin guidance? And then, what sort of the level at which you'll see impact going through the year? If it's X basis points in Q4 down to X basis points in Q1, what is it going to be by the end of the year? Because it seems like again, it's a pretty meaningful driver here.
Shawn Qu: Yeah. Xinbo, do you want to share some color there?
Xinbo Zhu: Yeah, I can take the question. The tariff was partially offset by the higher price in the US. So, we don't observe significant change with gross margin. I think you are talking about the module products, right? And our sales in the US accounts for about a quarter of our total volume, pretty stable. And the selling price in the US has been about 3 times the rest of the world. So, it translates into, yes, about half of our revenue generated in the US, also pretty stable. So, we don't observe or don't forecast big differences moving into 2025 and likely the solar module products will maintain similar margin for the year.
Brian Lee: Okay, fair enough. I'll take my question offline. Maybe a separate question on margins. I think you guys have historically been talking about e-STORAGE margins in the 20% range. I know a previous caller asked you about 17% to 20% and you said that that's the right range. But I think on a slide deck recently in December, you put out mid-teens as sort of your target now. So, it's a subtle shift, but what might be driving the 20% historical view now to mid-teens in storage? I know one of your peers had a margin issue this past quarter and it seems like there's a lot more competition in the storage space. So, can you kind of speak to some of the dynamics as to what's driving not just seasonality and volumes, but it seems like there's been a bit of a structural downtick a little bit in your margin outlook for storage. Can you speak to that?
Shawn Qu: Yeah, I want to take this question. Now, the module -- no, the gross margin percentage for e-STORAGE was at 20% or higher level. Now, even at the beginning of this year, we forecast the e-STORAGE product, the gross margin at 20% or higher. And although the price, the absolute price, indeed, it's trending down because of the -- like the -- those technologies become mature and also because increase the market competition. However, the new US administration announced some new tariffs, new import tariffs, in particular, a 20% new tariff on the product imported from China. Now, we do have some e-STORAGE shipment coming from China into US. So that will impact us. And therefore, we know with that impact, we think the margin will trend down. Although we have the change of law protection with some customers, but those change of law clauses allow us to renegotiate with the customer rather than to put the 20% burden just directly and to -- on the customers. So, typically, we'll negotiate some kind of sharing of the new 25% duty burden with our customers. So, it will impact our margin. However, we are working on other strategies. For example, we are building a new energy storage factory in Shelbyville, Kentucky, and we are also taking the solar cell supply from other countries outside of China. So, throughout of the year, we do see -- be able to smooth out some of those duty impact, assuming there's no new duty impact. So, we are closely watching what will happen on April 2 when US started to implement the reciprocal global tax. We still don't know how much impact will that be, but we do expect uncertainties in terms of product flow and tariffs, like for this year.
Brian Lee: Okay, understood. I appreciate the detailed response. Maybe last one from me and I'll pass it on. I know you don't want to break out I guess to the basis points the margin impact from AD/CVD and they're still preliminary. But I believe they're retroactive for the Thailand portion. So, have you outlined or can you give us a sense range of what the cash deposits are? And have you already accrued those on the balance sheet, or is that something that we'll see next quarter? Just trying to understand what maybe the cash implications of the retroactivity may be for you guys. Thank you.
Shawn Qu: At this moment, all the deposit for the import deposit related to AD/CVD, we do book it as cost in our P&L. And now those due dates will go through the -- typically go through the final review a couple of years after the year. For example, the 2025 AD/CVD due date, the final determination, will be a couple of years down the road. And depending on the result of that final ruling, final determination, either we will see some of those deposit flow back to us or maybe, in worst scenario, we can see additional duty. But so far, as of today, we only see this deposit money -- part of the deposit money flow back to us. We are -- I don't think we are making -- we are doing any provision for the retroactive application of duties. For that, we are waiting for the final ruling from the US DOC and also from US ITC.
Brian Lee: Okay. Thank you, guys.
Shawn Qu: Thank you.
Operator: Thank you. Ladies and gentlemen, that concludes our time allowed questions. I'll turn the floor back to management for any final comments.
Shawn Qu: Thank you for joining us today and for your continued support. If you have any question or would like to set up a call, please contact our Investor Relationships team. Take care, and have a great day.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.